Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. My name is Kelvin, and I will be your conference operator today. At this time, I would like to welcome everyone to the SelectQuote's Fiscal Second Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Press star followed by the number one on your telephone keypad if you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Matt Gunter, Head of Investor Relations. Please go ahead.
Matt Gunter: Thank you, and good afternoon, everyone. Welcome to SelectQuote's fiscal second quarter earnings call. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion. After today's call, a replay will also be available on the website. Joining me from the company, I have our Chief Executive Officer, Tim Danker, and Chief Financial Officer, Ryan Clement. Following Tim and Ryan's comments today, we will have a question and answer session. As referenced on slide two, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management's current expectations and beliefs concerning future events impacting the company, and therefore involve a number of uncertainties and risks, including but not limited to those described in our earnings release, quarterly report on Form 10-Q for the period ended December 31, 2024, and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. And with that, I'd like to turn the call over to our Chief Executive Officer, Tim Danker. Tim?
Tim Danker: Thank you, Matt, and we appreciate everyone joining us today. We are proud to report another successful quarter across the entirety of our differentiated health care services platform. But I'll begin with highlights from the recently wrapped Medicare Advantage annual enrollment period. Our senior segment performed well in a historically disruptive selling season, as carriers changed plan benefits and in many cases terminated policies. In response, our high-touch agent-led business model aided policyholders more than ever as they navigated a challenging and confusing set of decision factors. Our approach of overweighting tenured agents paired with targeted marketing proved to be the right strategy for SelectQuote yet again and was certainly valuable for policyholders. In a season where plans changed meaningfully, Buckwood had another quarter of strong policy close rates and excellent agent productivity. Our senior division delivered robust AP results for a third consecutive year, highlighted by sales volume outperformance and agent efficiency, which drove very attractive adjusted EBITDA margins of 39%, surpassing last year's strong performance. Momentum also continued in our health care services segment led by SelectRx, where we delivered another quarter of profitability. In our view, the profitability is impressive given the upfront investment. It drove another quarter of significant new member growth. On a consolidated basis, SelectQuote grew revenues by 19% over last year and achieved that growth with an attractive rev to CAC of 5.3x. This helped drive consolidated adjusted EBITDA growth of 30% compared to a year ago. On the strength of both our senior and health care services results, today we are raising our 2025 guidance ranges for EBITDA and net income, which Ryan will detail during his comments. And lastly, as we announced today, SelectQuote took a significant next step in our strategy to improve our capital structure with a $350 million preferred equity offering led by Bain Capital, Morgan Stanley Private Credit, and New Life Partners. This transaction gives the company greater operational and commercial control, while simultaneously increasing our flexibility to grow both our industry-leading Medicare business and our comprehensive health care services platform. As we've repeated often, our financial goal focuses on growth that drives increasing and consistent profitability and cash flow. With this strategic move to improve our balance sheet, we continue execution towards that goal while understanding our work to optimize our capital structure is not yet finished. With that, let's review our AP results in more detail on slide four. Similar to Q1, our policy production and profitability continue to outperform original expectations. We again credit our success to strong agent close rates and impressive efficiency in our marketing and operating spend. In fact, our agent headcount was 22% lower than last year but produced 6% more MA policies during the quarter, a testament to our model and its operating efficiency. We are very pleased with the performance of our senior segment and believe our model fired on every cylinder. We were able to leverage our nationwide reach, our scale, and the flexibility of our model to adapt to market conditions and focus our resources on the areas of greatest opportunity. Our tenured agent force delivered close rates 24% higher than the strong prior year performance. This improved close rate helped drive a 33% increase in agent productivity and a 22% decrease in marketing expense per policy year over year. The best holistic measure of this performance was our senior EBITDA margin totaled 39% compared to 32% a year ago. As we've mentioned over the past two and a half years, we firmly believe the operating and cash flow efficiency in our senior segment is repeatable in a wide range of Medicare Advantage environments. We are also tremendously proud of how our team's engagement model provided existing customers the help they needed during this highly unique AEP season. We believe this Medicare Advantage season underscores how important our agent-led and information-enabled model is to seniors. We invested in our customer care function leading into AP and helped tens of thousands of customers impacted by both carrier plan terminations and plan benefit changes. Our agents helped customers understand these changes and when appropriate, find a new plan to better fit their needs. Our industry experienced a seismic shift, and the SelectQuote model focused on information, connectivity, and experienced agents was the safe harbor for American seniors. For shareholders, the importance of this AEP planning was evidenced by strong returns and profitability. Importantly, results are aligned with helping seniors find the right care. As we've said before, Blackhawk wins when our customers win. Turning to slide five, I'll review our ongoing strategy to optimize our capital structure. On October 15, 2024, we completed the first step of the strategy by closing an initial $100 million securitization of Medicare Advantage receivables. The capital cost of this first transaction is more than 500 basis points lower than our term debt and also significantly extended our term debt maturities. While still early, we've been very pleased with the initial performance of our securitized policies during this AP period. It is important to remember we believe future securitizations of our MA receivables could be a fundamental part of our future funding model. The next step in the optimization journey is the $350 million preferred equity offering I touched on earlier. Unlike securitization, this action should be viewed as a singular deliberate decision made as part of our ongoing strategy to better position our balance sheet. We now have capital structure stability for the foreseeable future and can further increase our focus on operating and growing the business. As discussed on prior calls, we continue exploring additional strategic alternatives to further strengthen the balance sheet. We believe this strategic investment enables us to more easily pursue these additional capital structure actions, including the continued evaluation of follow-on securitizations. Our capital actions taken to date will decrease our ongoing cost of capital by more than 150 basis points and will reduce our annual cash interest obligations by approximately $30 million. Most importantly, our company is in a much better position to grow both in our senior and health care services segments in the quarters and years ahead. We have more to accomplish to reach our ultimate capitalization goal, but we are proud of the progress we've made over the past two quarters. Let me conclude my remarks on the next slide with a summary of our platform. As we've said before, our platform has a unique competitive advantage to create tremendous value in the $5 trillion American health care market. Our Senior MA business is the foundation we built our data and service expertise around. As I've mentioned, our performance during this unique AP season is the latest in a set of proof points that the business represents a durable and large return opportunity while serving America's seniors and the approximately 10,000 new 65-year-olds that join them each day. Beyond Senior, our improving capital position allows us to more fully capitalize on the significant growth demonstrated in health care services, most notably through SelectRx. Increasing balance sheet flexibility and cash flow conversion allow us to not only accelerate growth in the core business but in other health care service verticals that are inefficiently offered to Americans today. Finally, I'll touch on our revenue to customer acquisition costs or CAC. Clearly, EBITDA and cash flows are the financial metrics that matter most. But we believe revenue to CAC illustrates the power of scale in our model. We are incredibly proud to have steadily grown our revenue to CAC over the last few years from less than 2x to over 5x this quarter. As our company increasingly becomes the epicenter for health care information and coordinated service, we believe the potential to offer additional value-added services to the same customer and drive multiple revenue streams is tremendous. Healthcare Select can be the definition of scale, and we look forward to delivering the financial reality of those scaled cash-on-cash returns to our investors. With that, let me turn the call to Ryan to speak to our financial results in more detail. Ryan?
Ryan Clement: Thanks, Tim. I'll start with a review of our consolidated results. SelectQuote generated $481 million in revenue for the second quarter, up 19% compared to a year ago. While the growth was primarily driven by our SelectRx business, Senior also delivered impressive results as MA volumes were higher than anticipated given very strong agent productivity and close rates. Consolidated adjusted EBITDA totaled $88 million, up 30% compared to a year ago. This represents a company-wide margin of 18%, which remained relatively flat year over year as the rapid growth of SelectRx contributed a higher percentage of company revenues. We are very pleased with the financial performance of AEP. Importantly, we believe the embedded future returns in both new policyholder customers as well as those that change plans will prove to shareholders in the quarters and years ahead. With that, let me briefly detail our senior segment financial results. Revenue totaled $256 million in the second quarter, which is better than our original plan, which assumed a lower policy volume on a lower capital budget. The strong results were driven by the performance of our tenured agent force. While difficult to isolate the numbers, we believe certain nuances regarding this year's AEP drove seniors in need to seek the help of an agent-led model. This is another good example of the value of our platform as well as the alignment with our business and our customers. As Tim noted, we win when our customers win. The best representation of that can be seen on the right side of this page where our adjusted EBITDA of $101 million grew by 28% year over year at a margin of 39%, which is a near record high for the segment. Since we undertook our strategic redesign in early 2022, we've delivered three consecutive AEP seasons with adjusted EBITDA margins up over 30%. We stated at the time that one of our goals was to reduce operating leverage and deliver attractive returns in a wide range of selling environments. We believe this quarter's results underscore the progress we have made on that front over the past three years. Next, I'll provide context on how unique this Medicare Advantage season was and how SelectQuote's model delivered strong performance. First, for reference, in a typical AEP, we see less than 1% of Medicare Advantage plans terminated by the carrier. This season, terminations were about 6% or about fifteen times higher than normal as carriers restructured policies. We specifically planned for this impact ahead of AEP and knew that American seniors would be in search of answers from experienced people whether their policy changed or not. This is where SelectQuote's high-touch model came in. For the 6% of policies that were terminated, we recaptured over 30%. Recall that we receive a majority of the cash flows of a policy's lifetime value during years one and two. So the net cash impact from terminated and recaptured plans was modest at around $5 million. Before we move on, I'll make one more point very clear. Policyholder persistence trends for policies that were not terminated by carriers were stable, and we have confidence that our current LTV constraint is appropriate. Our commissions receivable balance of over $1 billion is a highly attractive asset, and one that we believe remains significantly undervalued. Now I'll walk through the key performance indicators for each of our segments. First, Senior. We drove total Medicare Advantage policy volume of 248,000, which represents growth of 6% compared to our original guidance projecting a 10% to 15% decline year over year. Our strong customer recapture efforts certainly contributed to the close rates and policy production as customers on terminated policies are recognized as new customers on a new policy. However, robust new customer acquisition and highly attractive economics represented the lion's share of this year's policy production. On the right, you can see the impact in year-over-year Medicare Advantage lifetime value, which decreased 3% year over year to $907. It is important to note the decrease in lifetime value is primarily due to carrier mix rather than destabilization and persistency. We continue to be pleased with the stable persistency trends we see within our receivables. On the next slide, you can see the continued strength in SelectRx membership growth. We ended the quarter with 97,000 members, up 54% compared to a year ago. This result continues to demonstrate the value our service provides when paired with our information advantage and connectivity in health care. Member growth and the continued maturity of membership drove revenue of $183 million, growth of 64% compared to a year ago, now representing an annual run rate exceeding $700 million. This impressive growth in membership and revenue was primarily driven by recent robust senior division results. As previously communicated, the majority of our SelectRx members find us after originally engaging to discuss their health insurance options. This underscores the significant synergies between the two businesses. The growth is also a testament to our improving onboarding process. We not only capitalized on enrollments during the AEP season, but we converted a higher percentage of these enrollees to new members within the same quarter than in prior years. As we move down the page, health care services produced $2 million of adjusted EBITDA. Two things to note here. First, the AEC quarter is typically our highest upfront spend quarter to onboard new members. As a result, our profit margins are somewhat dampened relative to the rest of the year, in line with what we communicated last quarter. Second, we continue to see a very large market opportunity within health care services and are pursuing measured investment in areas that we believe can be as compelling as SelectRx. I'll end the segment review with a look at our life business where we continue to be pleased with the results. The business performed well on both the top line and from a cash flow perspective. Revenue during the quarter was $40 million and adjusted EBITDA was $7 million, which was up 62% year over year. EBITDA margin of 19% represents a stair-step increase compared to 12% a year ago. The results were driven by strong performance of our final expense business and continued momentum with our Swift Term Select product. I will conclude my remarks with an update to our fiscal 2025 outlook. As Ben mentioned, we are raising our fiscal year 2025 guidance ranges for revenue, adjusted EBITDA, and net income. Revenue is now expected to be in the range of $1.5 billion to $1.575 billion, up from our previous range of $1.425 billion to $1.525 billion. This is driven by our impressive senior results during ADB and the corresponding top-line growth in healthcare services. As I mentioned earlier on SelectRx membership, we converted a higher percentage of AEP enrollees to members during the second quarter than our original expectations. As a result of this pull forward, we are now expecting SelectRx membership growth to moderate in the second half. Consolidated adjusted EBITDA is now expected to be in a range of $115 million to $140 million, up from our previous range of $100 million to $130 million, driven by the near-record senior margins we delivered in fiscal second quarter. Net income is now expected to be in a range of a loss of $24 million to income of $11 million, up from a loss of $59 million to a positive $3 million. We are proud of the results we delivered this AEP and look forward to continuing to execute as we move through the second half of fiscal 2025. With that, we will open up the call for questions.
Operator: Thank you. Ladies and gentlemen, if you have a question, press the star button followed by the number one on your telephone keypad. We will pause this for a moment to compile a Q&A roster. One moment, please, for your first question. Your first question comes from the line of Ben Hendrix of RBC Capital Markets. Please go ahead.
Ben Hendrix: Great. Thanks, guys, and congratulations on the quarter. Just a quick question on guidance. The new midpoint still feels a little conservative against the beat, and I'm just hoping you can give us some thoughts on what you're seeing thus far in OEP and then in what you've slated for investment through fiscal year-end, then anything else that can kind of help bridge the way you're thinking about the midpoint. Thanks.
Tim Danker: Good evening, Ben. I appreciate your question, and I'll start and maybe ask Ryan to provide some color. You know, overall, we're just so extremely proud of our team, the operating results, the continued momentum in the business. Again, on the strength of these results, we had raised our guidance in November, raising again this evening. With all that said, we think, you know, it is a unique season. I think we want to see how the rest of the fiscal year plays out. Might ask Ryan to provide some commentary on the back half of the year investment.
Ryan Clement: Yes. No. Appreciate the question, and I can order pleased with the results. We are making some investments. We've talked about in the health care services space. We're working on a facility here in Kansas that we think will drive meaningful improvements in overall efficiency. And so there are investments being made in the back half of the year on that front. And, obviously, you know, really pleased with the business more broadly. We'll focus on continuing to onboard our health care services members. And then with respect to, you know, margins and kind of back half, you know, our expectation from the senior division is that we will be in the low to mid-twenties, consistent with the two prior years. So we're really pleased with the results and development on that front, and then, from a health care services margin perspective, would expect low single digits for fiscal 2025 and would expect that to continue to scale and improve as we add to our customer base.
Ben Hendrix: Great. Thanks. Just if I could follow-up on the SelectRx side. Clearly, you guys are seeing really good momentum there and we get a lot of questions about kind of the total market opportunity. It seems like it's vast and really tracking well with your senior engagement. Just wondering if you could go into a little bit more detail about the synergies between the segments. You noted some moderation in growth through the second half, but overall, kind of longer term, how should we think about that penetration and kind of the correlation that we should be modeling between kind of SelectRx and the senior segment.
Ryan Clement: Yeah. Ben, we feel great about where we are from a kind of attachment rate standpoint, ultimately on both sales and no sales, which we talked about. Right? We've gotten better at working with our customers who ultimately are on the plan that suits their needs right now, so we call those no sales. And working with them on other health care assets and SelectRx is a really, really big piece of that, obviously. So we feel great about that. As far as market penetration, you know, we are starting to get more of our feet under us as far as finding customers from other places and getting better market penetration. We've proven that this is a great business to drive adherence, to drive waste down because these folks are on so many drugs that really the thirty-day supply works extremely well versus kind of the nineties. This is such a good hybrid. And then also driving out waste. We feel really, really good about that, and I think there's more market opportunities than just our customer base. So feel very, you know, strongly about that. The space itself, you know, we know it's absolutely massive. So we'll continue to think of creative ways to kind of tackle that space. But we feel really, really good about where we are today. And excited, you know, with our new capital structure and those things to kind of get towards moderate growth like we discussed. Because the more we can moderately grow on the senior side, that grows our calls and ultimately that creates a down funnel effect in the SelectRx. So feel really, really good about where we are.
Ben Hendrix: That's great, guys. And I guess one last one in. Congratulations, obviously, on the investment going. How that's making you think about the pace of securitization and how you can get and if it's changing the pace at which you believe you can kind of get more benefit from that billion dollars receivable. Thanks.
Tim Danker: Yeah. Great question, Ben. And we are very pleased to bring on sophisticated institutional investors in Bain and Morgan Stanley Private Credit and Newlight. They have a lot of experience in insurance and health care and strong conviction about what we, you know, jointly can create and the future in terms of value creation. To your securitization question, we actually think that the sequencing benefit of this preferred transaction puts the company in a position of strength. Certainly, with respect to continued deleveraging, also with respect to securitization. As we noted, you know, we had our inaugural $100 million securitization as Ryan noted. We like what we're seeing in terms of that performance. And so now with, you know, the press behind us, a capital stack that you know has more stability in it, really outstanding business results, we're going to continue to look at securitization as an option for continued deleveraging as well as other benefits we think that it can create around and creating more of an asset-light type model. So, yeah, we're going to continue to pursue that. See that as a very viable option for the company.
Ben Hendrix: Thanks, guys. I'll jump back in the queue.
Operator: Your next question comes from the line of George Sutton of Craig Hallum. Please go ahead.
George Sutton: Thank you. Guys, this seems like the real Super Bowl. I wanted to make sure I understood the use of proceeds for the $350 million. Looks like $250 million will go towards paying down some debt. That'll reduce your interest expense. There's an additional $100 million of operating flexibility, and I really wanted to see if we could attack that a little bit. Give us a sense of what kind of operating flexibility that will give you that you simply haven't had. You didn't certainly have this season.
Tim Danker: Yeah. Absolutely. So as you mentioned, we are using a large portion of the proceeds to retire term debt. And so we expect around $260 million to be used for that purpose. We'll also fully repay any balances on a revolving facility. And we'll have liquidity of roughly $100 million on the backside of that. So, you know, it really sets the business up nicely. And I think, you know, in addition to that, it's worth calling out our ongoing debt service obligation from a cash perspective drops by about $30 million. And so it really sets the organization up to continue to grow. We've got a health care services business that's scaling. It's cash generative, and we're really excited about, you know, the cash that we expect that business to be generating in the quarters and years to come. And so it does allow us to lean in as well as find other health care services opportunities. Tim, I'm not sure if there's something you want to add there.
Tim Danker: Yeah. Well, first off, as a company headquartered in Kansas City, I like your intro, George. That was a painful watch for us last night. But back to the business, you know, we've said for a long time, George, we think this is a business that has a better capital structure. We've been working really hard on it, and it's great to bring this to market. And as we've said in the prepared remarks, we are going to continue to be very focused that the work is not done and there's more for us to do there. Getting to the growth part of the equation, I think that's what made us so excited about bringing in the preferred investors that we outlined. I think that there was respect and recognition for what we built, but really, a lot of conviction around how we can further build out our, you know, our insurance distribution platform where we've really focused on our Medicare platform as well as health care services. So Bob alluded to this. I think there's a great opportunity for us to grow organically in terms of our MA platform. You're seeing lots of great pull-through benefit. You're seeing the leading indicator around rev to CAC. We believe that'll translate to cash flow here in the very near future. And that has us all, you know, very excited about what I would say, you know, measured and responsible growth gives us in a better position to assess other opportunities in health care, and we're really excited about where we stand today.
George Sutton: So I understand it's hypothetical, but you went into this season with a lower agent count in large part because you didn't have the receivable securitization done in time. How much more business could you logically have done if we had these transactions completed beforehand?
Tim Danker: Yeah. I think we've and I'll ask Bob to comment as well. I think we've said, you know, growing annually at the market rate of growth is something that we can do and maybe there's situations where it's more than that. I think we have been really working hard on the mousetrap. I think you've now seen for three consecutive years very successful AEPs. Ryan alluded to the fact that we think, again, on a full year, senior and the low to mid EBITDA margin. So we certainly think that there's a lot more growth opportunity and pull-through impact to health care.
Ryan Clement: Yeah. I mean, we continue to get more efficient, which I think is clear in our numbers given that we had significantly less people this year and then delivered the results we did. I think our plan, you know, we set it at an earlier call, would have been to hire a similar amount of people last year, on top of the little bit larger force that we had. I can't say exactly how many policies that would have been, but it would have, you know, been growth on top of what we're already seeing. So I think we want to be very balanced in this. We're not looking to grow like we did before and really create too much leverage within our model. But we are very confident in hiring, you know, pretty large classes during what would be our fiscal year Q4, ultimately training those folks and getting them very successful for AEP. That structure's worked for us. That structure will continue as we go forward. So there was a lot more business to be had if we would have had the capital, and now we do.
George Sutton: One more question if I could. We have been through three very challenging regulatory years. The outlook now with the new regulatory regime coming in looks to be much more favorable. Can you just talk about the early indicators you're getting there?
Tim Danker: Yeah. We would agree with you. We agree with you. Oh, go ahead. Go ahead, Bob. You're fine. Go ahead.
Ryan Clement: I'm sorry about that. Yeah. We definitely agree this will be a much more favorable environment and believe that this administration with some of the current appointees and things have a much more favorable outlook on Medicare Advantage in general. So it's a challenging environment, we actually agree with some of the decisions that were made as far as the way you market and things like that. So we feel very good about that. But excited to get back to an administration that's excited about growth within this market.
Tim Danker: Yeah. No. That's a great point that I just said. I would just add, George, I think certainly, things are turning in the right direction. I think we like what we saw in I'm sure the payers have seen this as well just in terms of the advance rate notice. I think that's been welcome news and hopefully can help ease some of the profitability concerns, you know, some reinvestment back in the plan benefits, some further stabilization in the market. We think those are all positive events.
George Sutton: Great. Thank you.
Operator: Your next question comes from the line of Pat McCann, Noble Capital Markets. Please go ahead.
Pat McCann: Hey, thanks for taking my questions, guys, and congrats on the quarter and on the strategic investment. My first question was just kind of to piggyback on one of the recent questions regarding the agent force. I guess, given that you had expected the volume submissions to be down, and, of course, it ended up being a really strong quarter with really good close rates and whatnot. I was wondering although you said you know, with more capital, there could be more upside if you had more agents. At the same time, is there any, you know, do you look at the performance of the tenured agents, does it in this quarter, does that shape, does that change your perspective on agent force going forward as far as how you strategize on the number of agents and the tenure of the agents? Is it just seeing how strongly they outperformed? I'm just wondering if your strategy for agent force shifts at all.
Ryan Clement: No. Good question. But, no, it really doesn't change our strategy. I mean, we've seen every year where we have continued to invest in our technology, our process, our marketing, which Bill does a great job of running that. And, you know, ultimately efficiency. And that made our tenured agents much more productive than they had even been in the year before, which was a record year from us for a productivity standpoint. So we were confident that we would have hired our normal summer class, you know, with those investments in AI and tech and marketing, that we would have seen the same outperformance. So it doesn't really change our strategy per se because we're confident that if we do hire those classes, we would have seen the same results on kind of outpacing our historical per agent productivity. Tim, add to that?
Tim Danker: Yeah. I just I think it's a great outcome by our team when you think about, obviously, everybody knows the capital-constrained situation we're in when we got it earlier this year. We, you know, we said, hey, we're going to do ten to fifteen percent less policies. We really feel like what Bob mentioned, the power of our tenured agents for the high-quality marketing, the investment we're making in tech and tools, to produce six percent year over year policy growth with twenty-two percent fewer agents. Yeah. Now we're in a position with the capital to responsibly grow. And we feel, you know, we feel really good about that. You know, it'll be more that we'll share, you know, in future commentary, but I do think, you know, we'll be getting back to responsible growth and a real focus on our health care services business. We're very pleased with but there's a lot more for us to do. And this additional capital will allow us to further explore opportunities, like we said, where we think there's inefficiencies in the market and where our, you know, high connectivity engagement model can win.
Pat McCann: Great. That's helpful. And then my other question just had to do with SelectRx. I was wondering if you could talk about sort of what you're seeing with the typical senior, you know, how they view the value proposition of a direct-to-your-home pharmacy. I mean, certainly seems like it's working out very well, and but I guess I'm just wondering, do you think what do you think is kind of driving this adoption, your ability to get consumers to adopt the home direct pharmacy sort of from a qualitative big picture sense if you could kind of give an outlook for how, you know, as people are getting more used to using technology and so forth and shipping a lot of things direct to your home. It might be Instacart. It might seem things like that. You know, how you know, how you see the consumer, you know, developing over time to embrace that even more?
Ryan Clement: Yeah. I mean, I think that this population specifically too. Right? We've been very open that it's a lot of complex customers who historically were not as used to the technology and things shipped to their house and then went to the local pharmacies, things like that. We are definitely seeing a shift there. We're seeing them engage much more. I think, again, Bill's CLM team does a great job and increased that member experience pretty dramatically. As we've done this, but we are definitely seeing adoption go up as this customer base gets used to this and sees the value in it. And I think we'll just continue to see that more and more. I think also, you know, some of the things on the regulatory front like reducing the donut hole out of $2,000 and those types of things also are really helping our value. Right? Because these are folks that really historically took a lot of medications and would get into that donut hole a lot. And now with that reduction, we're just seeing better customer satisfaction, and I don't anticipate that going in any way. Plus, what we're doing for that consumer, you know, driving their adherence from some 80% to, you know, 90% on most disease states helps the carriers on STARS and we're doing it on a really, really complex patient population, which really reduces overall cost, whether that's reducing it because of waste or just reducing it because you really need to be over that 80% threshold on adherence to the same medical cost. I think both of those are starting to really ring true, and carriers are really starting to notice that, and they're really happy with what we've done and what we've been able to kind of drive forward with that. So very unique model and we are very proud of what we've built, but we're going to continue to work with Bill's customer life cycle management team and our customer experience team to just enhance that more and more and try to add more relevant products to that. We talked about that historically, but it's not just SelectRx. There's a lot of things that we can do on a remote basis that would really help those customers, you know, drive the needed health outcomes they have.
Pat McCann: Great. Thanks so much, and congrats again on the quarter.
Ryan Clement: Thank you very much.
Operator: There are no further questions at this time. With that, I will now turn the call back over to Tim Danker, Chief Executive Officer, for final closing remarks. Please go ahead, Tim.
Tim Danker: Yeah. Thank you, everyone. We really appreciate everyone's time this evening. As you can tell, we have a lot of momentum. And along with the entirety of the organization, you know, I'm personally very energized to make 2025 a pivotal year for the company and our shareholders. We want to thank you again. We look forward to sharing more updates about our strategic initiatives in the months and quarters ahead. Everybody have a great evening. Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.